Unknown Executive: We will now start the meeting of the consolidated financial results for the second quarter of the fiscal 2015 for Hitachi, Ltd. The speakers today are Toyoaki Nakamura, Executive Vice President and Executive Officer, CFO; Mitsuyoshi Toyoshima, General Manager, Financial Strategy Division; Ken Mizoguchi, Executive General Manager, Corporate Brand and Communications Division.
 I'd like to ask Mr. Nakamura to start. 
Toyoaki Nakamura: Now I'd like to give you the results of the second quarter of fiscal year 2015. The financial results will be explained.
 Please refer to Page 4. This is from July to September. The highlights are shown here. The revenues was JPY 2,492.8 billion, up 4% year-on-year. Operating income, JPY 158.6 billion, up JPY 7.1 billion year-on-year. As the second quarter, we have a highest performance in overall. EBIT was JPY 116.1 billion. And the business structure reform was outside of the operating level, therefore, overall, JPY 29.8 billion decline year-on-year.
 Now I'd like to move on to Page 5. This is the highlights for the first half. Revenues was JPY 4,806.8 billion, up 6% year-on-year and 2% up compared to the previous forecast. The High Functional Materials & Components, Information & Telecommunications Systems, Social Infrastructure & Industrial Systems and Automotive Systems, 7 out of 9 segments exceeded the previous year. The operating income was JPY 274 billion, up JPY 10.2 billion, up JPY 54 billion compared to the previous forecast. Information & Telecommunications Systems, Automotive Systems, overall, 6 segments exceeded the previous year. On a 6-months basis, we have recorded high -- highest performance.
 EBIT was JPY 262.6 billion. As I mentioned earlier, the business structure reforms is posted outside of the operating level and, therefore, it's down JPY 2.7 billion, but up JPY 52.6 billion compared to the previous forecast.
 Net income, JPY 97.5 billion, and down JPY 20 billion, however, up JPY 27.5 billion compared to the previous forecast. As a result, the stockholders' equity ratio was 28.1%, up 0.5 points from the previous year.
 In the core free cash flows for Manufacturing, Services and Others. From operating cash flow, and we have subtracted the CapEx from that, JPY 88.8 billion, up JPY 46.5 billion year-on-year. And this is the highest level for the first half. Interim dividend for fiscal year 2015 is JPY 6 per share.
 Page 6, profit and loss. Now third line from the bottom, loss from discontinued operations should be noted. For the first half, JPY 11.7 billion, and that is a JPY 7.7 billion deterioration from the last comparison. Now the -- we have increased to the limit of the upper limit. And out of the 16, 3 remains, and this will be taken care of in the first half. For the remaining 2, with the customers, we are negotiating the transfer period that we have been negotiating because of the guarantee requirements. So we have almost reached agreement, and that is the reason why additional expense has been posted. Now in terms of the guarantee and et cetera, will be calculated in the second half. Therefore, it has been reflected in the forecast accordingly.
 Page 8. And this is looking at the first half factors affecting changes in operating income. Now in terms of our lower sales prices, JPY 54 billion, but we had JPY 56 billion in terms of benefits of Hitachi Smart Transformation Project. And our investment business development, JPY 29 billion. Increase in labor costs and depreciation, and that will be offset by a business expansion as well as exchange gain and as well as cost reductions. And overall, JPY 274.0 billion has been achieved.
 Page 10. I would like to talk about EBIT factors for the first half. In addition to operating income, in the bottom of this graph, there is a structural reform expenses and that has been posted. And compared to the previous year, it has been posted JPY 23 billion larger. And as a result, JPY 262.6 billion has been achieved in terms of EBIT, which is flat from the previous year.
 Now going onto Page 13, I would like to talk about the revenues by market. The right-hand side is the first half, in Japan, was JPY 2,416.1 billion, which is 100% year-over-year. Outside Japan is JPY 2,390.6 billion, 112%. And because of the depreciation of the yen, there was increase in areas such as North America. As a result, by region, #1 is Japan, 50%; and then North America was 13%; ASEAN, India, 12%; China, 11%. Therefore, we have a well-balanced breakdown. Outside Japan, ratio is now 50%. This is a record high performance in terms of the ratio of overseas revenue. For your information, in the first half, so before the 2015 midterm business plan, was 47%, and therefore, we have come far reaching the 50% mark.
 Page 14, this is the profit and loss by Manufacturing, Services and Others compared to Financial Services. In both areas, in terms of revenues as well as operating income, in the second quarter as well as the first half, we have seen an increase.
 Page 16, looking at the balance sheet for Manufacturing, Services and Others. And the total assets was JPY 9,783.2 billion. Trade receivables as well as inventories or working capital has been reduced, and there was a reduction of around JPY 200 billion. And in terms of cash conversion cycle, we have achieved 74.5 days. Compared to the end of the previous year, there was an improvement by 7.3 days. The D/E ratio is 0.41x, and this is within the guideline of Hitachi of 0.5x.
 On Page 17, cash flow is presented, and please refer to the Manufacturing, Services and Others in the middle. Cash flow from operating activities was JPY 314 billion, which is an increase of JPY 68.1 billion year-over-year. Margin has reached 6.7%. But in fact, this is the highest ever for us.
 Free cash flow was JPY 78.6 billion. The free cash flow -- the core free cash flow was JPY 88.8 billion. And 7.3 days, our cash conversion cycle has been improved and operating profit has improved, and that is the reason why our core free cash flow has improved by JPY 46.5 billion. And this will be the source of making M&A investments.
 Page 18, capital expenditure. And from Manufacturing, Services and Others, JPY 187.2 billion, 115%. And depreciation was 141.9% (sic) [JPY 141.9 billion], 109% year-over-year. R&D expenditure, JPY 164.4 billion, flat.
 Next page, 19 and 20. This is the revenues and adjusted operating income, EBIT by business segment. On Page 20, you can see the total. As I mentioned earlier, operating income, JPY 54 billion improvement against the previous forecast. Construction Machinery and High Functional Materials & Components suffered from the declining demand in China, and so both revenues and operating income fell short of the forecast.
 Others, the Information & Telecommunication Systems, Social Infrastructure & Industrial Systems, Electronic Systems & Equipment, Automotive, Smart Life & Ecofriendly Systems, Others, Logistics and Financial Services, these 7 divisions, 7 segments have improved. Now the front-loading of contract, we increased the revenue and also enjoyed the weak yen and, therefore, operating income was generally improved.
 Next, if you could skip a few slides to Page 24. This is the fiscal year 2015 outlook. The business environment in the U.S., consumer spending continues to recover. And in Europe, with the support from quantitative easing, it's showing sustained and gradual economic recovery. But in China, with the excessive production capacity, the weak investment and production, particularly in the real estate sector and manufacturing sectors. And in Southeast Asia, because of this weak factor in China, the economic growth is decelerating and, likewise, in Japan, economic growth is slowing down. So on a global level, the outlook is unforeseeable. And therefore, this fiscal year, outlook for our main items will be maintained, no change.
 However, as I said earlier, the loss from discontinued operations on an annual basis is minus JPY 18 billion. This is -- compared to the previous forecast, it is minus JPY 14 billion. In the first half, the negotiation with the customers have come to an agreement in the second half of the liability lawsuit, related costs and the after-supply risk -- cost risk was incorporated, and so JPY 14 billion. But the income tax burden will decline and, therefore, we have not changed the forecast.
 Next page, 25 and 26, are the outlook on the business segment. The total has not changed. But compared to the previous forecast, the Electronic Systems & Equipment, Construction Machinery, High Functional Materials & Components went down in revenues; and Logistics revenue increased. Social Infrastructure & Industrial Systems and Electronic Systems & Equipment, Construction Machinery, High Functional Materials & Components had declined in operating income. And Smart Life & Ecofriendly and Logistics and Financial Services, these 3 segments increased operating income. Furthermore, corporate items -- corporate cost reduction and our risk was eliminated and, therefore, overall, we have not made a change to our forecast.
 Next, Page 30, please. Towards the next 2018 medium-term plan, we are going to share with you the progress of the 2015 medium-term plan and the progress of the Social Innovation Business. In business restructuring, IT platform business, electric power transformation, distribution, T&D and healthcare business, Hitachi Construction Machinery business have conducted business restructuring, which is JPY 54 billion this year. And the benefit of this is JPY 20 billion this fiscal year and more benefit expected in fiscal 2016 and onward.
 Cash generation. In Smart Transformation Project, STP, we are trying to strengthen the cash generation, continue to overhaul the cash management system. We are assigning the responsible person in each area. CCC was 81.8 days as of March 2015, but this is shortened to 74.5 days in September, and so it improved to JPY 88.8 billion. In the first half of 2012, it was minus JPY 11.4 billion, but we have improved year-after-year. And last year was JPY 42.2 billion; and this year, we are doubling that figure.
 Next, 2015 medium-term plan, the progress of our measures. First, Hitachi ABB HVDC Technologies, a joint venture with ABB, will commence operation in November, targeting demand for HVDC system in wide-area power transmission grids and connection. Progressing the acquisition of AnsaldoBreda and Ansaldo STS, we are at the final stage. By accelerating global business expansion, we will become 1 of the big 4 global rail sector players. We established Johnson Controls-Hitachi Air Conditioning with Johnson Controls and commenced the operation in October this year. We are accelerating business expansion globally by leveraging both companies' strengths, while exploring opportunities for collaboration in the building solutions field.
 Next page, please, progress on the Social Innovation Business. Accelerating global business. Our overseas revenue ratio in fiscal year 2012 was 41%, and this year's forecast is 50%. In Newton Aycliffe in the U.K., we conducted an opening ceremony at a rail vehicle manufacturing. And in Singapore and Papua New Guinea, we are receiving these orders listed here. And in the U.S., Mayo Clinic, PBT, proton beam therapy system, began service. And we are trying to accelerate global business expansion. In China, we are contributing to Made in China 2025 initiative.
 Now promoting collaborative creation with customers by strengthening front-line functions. We are approaching 30 customers with AI and technology from Pentaho Corporation, as the common platform is being utilized for things like energy management and analysis of people flow.
 Next is Page 32, please. Our progress on developing a common platform, targeting service business expansion. With this, service revenue ratio in fiscal year 2012 was 30%, but this year, we are forecasting 38%. In artificial intelligence, AI, we are commencing marketing of business improvement service in November using Hitachi AI Technology and having demonstrations with Japan Airlines and The Bank of Tokyo-Mitsubishi UFJ.
 In common platform, using the technology of Pentaho Corporation as a core technology. Pentaho has a customer base of more than 1,500 companies in 180 countries, and enables prompt integration, analysis and visualization of Big Data. So we are providing common platform, which had been developed by approximately 1,000 engineers using Pentaho Corporation's technology as a core technology. We began providing a trial verification service for utilizing Big Data based on Pentaho's software, and expect to launch a full-scale Big Data analytics and process system.
 Next, lastly, is the benefit of Smart Transformation Project, JPY 56 billion in the first half of fiscal year 2015 and JPY 110 billion for the full year. Main initiatives and progress in the second quarter. We are taking initiatives to reform cost structure and strengthening cash generation. And we are trying to compress work -- working capital to JPY 130 billion and achieve targets of accounts receivable, inventory balances and account payable. And towards the next medium-term plan, we are conducting business process reforms, strengthening pipeline management as well as comprehensive management of accounts and One Hitachi projects, with the aim of developing the Social Innovation Business.
 So the process of design, production and procurement are now being overhauled by utilizing paper -- pipeline information to strengthen business competitiveness so that we can enjoy the benefit in 2018 medium-term plan.
 We would now like to go to the Q&A period. 
Unknown Executive: The floor is now open. 
Unknown Analyst: I have 3 questions. First question is as follows. Regarding your performance in terms of your framework, for the first half, you had upward revision and you did well. But for the whole year, you have remained flat. And therefore, for the second half, it's resuming downward. Now compared to your original plan, do you think that the business environment has deteriorated in the second half? About the -- or the -- perhaps, the original guidance was considered to be too aggressive or was it a realistic guidance that you have formulated? However, because of the uncertainty in the business environment as well as your competitiveness and how you are receiving orders have deteriorated, is that how we should interpret this? And so please talk about the changing environment between the first half and second half. 
Toyoaki Nakamura: For the first half, when we announced our results in the first quarter, I believe we received a similar question, and I think it was about JPY 220 billion. And with that, the second quarter would mean that -- be declining revenues and earnings, and that is not likely. But in terms of budget formulation, internally, we'll come up with these numbers that I mentioned. And personally speaking or, rather, from my position, I would say that at that point in time, I felt that we could do better than that, but the Chinese market was softening. I was -- had that impression at that time. And therefore, I felt that there is going to be some difficulties ahead. And therefore, for the first half, we were able to achieve the numbers that we aim for. In terms of sales volume increase, also, there was a weak yen impact as well, which has had a positive benefit. But if we make the subtraction, it would look as if there is a downward revision in the second half. Yesterday and the day before, we had to -- our subsidiaries, a list of subsidiaries make announcements, and they have been impacted by the Chinese market. And Southeast Asia has had an impact as well. There has been fall in demand, and it has become a reality. From about 2 years ago, I was expecting that this is likely to occur. And it seems that this situation is becoming a reality before us. In 2007, 2008, when we had the global financial crisis, it isn't as if the demand is going to evaporate as we have experienced in the past, but the demand is likely not to grow at the pace it had in the past. Now therefore, for the first half, our revenues increased. There was an improvement. But in the second half, we are taking a conservative outlook. 
Unknown Analyst: Second question. In that trend, it seems that the first half was good, but second half, the demand globally is going down by segments. The buffer will have to be -- the corporate items and eliminations buffer is being used. But for 2016, as the second half outlook deteriorates, what is going to happen next term? We are afraid that you are going to go into a negative territory in terms of profit. So what is occurring now? How do you evaluate this? There have been downward revisions of the subsidiaries, so it makes us concerned about your performance next year. What measures are you contemplating? And are you able to increase profits going forward? 
Toyoaki Nakamura: No, the rapid decline is not so much the case. We are seeing a reduction in orders in the second quarter. That is the trend that we are seeing today. At the beginning of 2015, the market environment was poised for change, and that is the reason why we wanted to go ahead with the business structure reform. And for the loss-making businesses, we want to implement measures to deal with these matters within this fiscal year. This process is ongoing. And also, manpower optimization is taking place. And we are front-loading this, and the scale has increased somewhat. The impact will be seen in the second half. Demand is declining. For these areas, fixed-expense measures will have to be implemented and the Smart Transformation Project will have to cover, and I think it is likely to be achieved this fiscal year. Now regarding the next fiscal year, whether we are going to red ink or go -- we are going to be focused on our business. And if we make efforts across the board, we will run out of resources and, therefore, we have to be more focused. Now we don't think that we are going to see a profit decline next year. 
Unknown Analyst: You have generated significant free cash flow. Do you think this is sustainable? Is it sustainable? And what is the free cash flow for the full year? 
Toyoaki Nakamura: We have been not talking about this so much. But in terms of core free cash flow, it's very important because if you look at the overall free cash flow, if you have a significant M&A, it will be deteriorating, certainly. And from -- and also, we are making investment and also making investment in systems. I mean, do we have to subtract that from the free cash flow? That's referred to as the core free cash flow, and this will be the source of M&A. And this is JPY 88.8 billion. It looks like a significant improvement, but when we started with the mid-term business plan for 2015, I said that we are going to improve free cash flow. And cash conversion cycle was an important objective as well. Now in the first half of 2012, before the plan, it was negative; and then JPY 6.4 billion; and then in '14, it was JPY 42.2 billion. So it's continued to increase over the years. Now we have stopped the loss-making business. That was the start. And then Smart Transformation Project has borne fruit. And now we are trying to reduce the cash conversion cycle. Even if we are able to do this, if the profit margin is low and is not meaningful, so we have to have good profit margins and have cash conversion cycle which is appropriate, which means that we can make more investments. So profit margin is very important, and the cash conversion cycle to be reduced. And these are areas where we are seeing more speed. Now cash-generating part is increasing for us. And therefore, in 2015, 6 months ago, I mentioned JPY 100 billion in terms of free cash flow for manufacturing. But I believe that we can increase this further. So it's about JPY 200 billion to JPY 260 billion that we will be achieving in terms of free cash flow. Otherwise, the acquisition of the Italian company cannot be made within our means. 
Unknown Analyst: JPY 88.8 billion, and you said that, that is going to be JPY 200 billion, JPY 260 billion per year? 
Toyoaki Nakamura: Well, actually, we're going to be selling assets as well. 
Unknown Analyst: I have 3 questions. The first is 2016 March in Information & Telecommunications segment, second half operating income plan is JPY 111 billion; and last year was JPY 88 billion, second half of last year. So this is planned to be a significant improvement. Now the current order situation and your current business restructuring initiative's progress and the results you are expecting, how do you plan to increase JPY 23 billion in the Information & Telecommunications Systems in the second half? That's my first question. 
Toyoaki Nakamura: Our Information & Telecommunications Systems have system solutions and platform, teams, units, so we have both. And in the second half of 2015, on a year-on-year basis, so JPY 110 billion, so this is a JPY 20 billion increase on a year-on-year basis. In our material, that's Page 35, we show you some numbers on Page 35. So looking at this, platform is JPY 25 billion increase, improvement on a year-on-year basis. And system solutions, a little over JPY 20 billion -- JPY 2 billion improved -- improvement. Now last year, platform was not good, especially communication and network. Order declined, but fixed cost remained unchanged. But now the fixed cost is reduced. We started last year, and in the first half, we made big progress. So this benefit result will be enjoyed. In storage solution, mid-range, newer products are starting to be launched finally, so that is why revenue is increasing. And PC server, revenue is also increasing. Now IoT business, we are shifting people to IoT business. And so the revenue will increase in the second half. So that will contribute to our improvement, and that's why we plan an increase, but it may be a bit difficult, I think. But system solutions business, we had many issues last year, and there were some large projects where we had to post loss. So considering that, we have to make improvement. So this will be improved and maybe a slight decline in the platform, but JPY 158 billion total number. The result may deviate slightly, but this is where we think we will end the year. 
Unknown Analyst: Additional question. So business restructuring will show some benefit, and you are probably taking additional measures. How much benefit can you expect from the additional measures, if you have any figures you can share with us? 
Toyoaki Nakamura: In business restructuring, we are thinking of JPY 10 billion effect; in the first half, JPY 3 billion; so second half, around JPY 7 billion. Last year, revenue went down, so when we announced in May, carriers said they will reduce even further. And so we have to make measures to meet that, and that is why we are up to JPY 10 billion this year. In the second half, you mentioned on the macro basis, JPY 20 billion, the benefit from Smart Transformation Project, of which JPY 10 billion is Information & Telecommunications System. Now comparing first and second half, JPY 6 billion or so is the benefit from the structural reform, in comparing first and second half. Now in orders, the financial and the public sector in Japan is busy. The system -- or the financial and public system, the operating income is JPY 49.9 billion. And the orders that are mostly certain amounts to around JPY 40 billion to JPY 45 billion. We have a good visibility of achieving this. So JPY 6 billion structural reform will be included. And the shortage is around JPY 5 billion, JPY 5 billion to JPY 10 billion. So this the gap. How can we increase orders to fill this gap? That is where we are at the end of October. Thank you. 
Unknown Analyst: Second is the Social Infrastructure & Industrial Systems. So your upswing in the first half, your operating income is JPY 143 billion to JPY 150-or-so billion. You are revising upward, but elevator orders and other factors, if you include those factors, what is your forecast for the first and second half? Now for this full year forecast, there may be some upside and downside risks that you have not incorporated. If you have anything that you have in mind, please share that with us. 
Toyoaki Nakamura: First half upside, main items are transport and infrastructure and urban development, improvement of JPY 6.7 billion, right? So transportation, JPY 3 billion; and infrastructure, JPY 2 billion; and urban development, industrial equipment is JPY 1 billion. Revenue increased and so it was front-loaded, and we also enjoyed the benefit of weak yen. So the first half was good. But as mentioned, in terms of order in infrastructure, the order is being reduced. And so short delivery-period deals, not overseas, but we want to increase more stable orders with short delivery time. The transportation business is strong, and the orders and revenues overseas is increasing. So we want to expect more upside here. And the Italian project will become more clear soon. And the area where we are impacted by China the most is elevator. From January to August, on a year-on-year basis, 10-or-so percent decline on a year-on-year basis. Order, order is down. And this impact will not show in the first half. We will clear the backlog and then the revenue is posted. So the revenue will be posted down the road. So the impact of this order decline will be around January to March quarter. So if we just reduce the price and capture order when the cost is not down, then it will be a big problem for us. So we are trying to reduce our costs. And now we are in a good place. So from second quarter, July-September quarter, we are dealing with this price better. So from first to second quarter, we are selling around 500 units if we offer a good price. We think the order is around flat on a market-wide basis. The affordable housing in China is increasing, so the key is how much models with affordable pricing can be offered. And there are some high-end condominiums, too. Developers want affordable elevators on high-end condominiums, too, so we are developing that to meet that demand. In China, we have seen a significant growth so far, but we cannot expect that much up to fiscal year '16. Now full year operating income plan was reduced by JPY 20 billion. This is because of urban development and elevator. I think it was JPY 15 billion. In Social Infrastructure & Industrial Systems, we reduced by JPY 15 billion; in Infrastructure, JPY 9 billion; and Urban Planning and Development, JPY 5 billion. This is a downward revision, and Urban Planning and Development is China. And Infrastructure is around JPY 9 billion. Urban Planning and Development will be weak in the second half, so it is minus JPY 5 billion against the plan. And it's not mentioned much here, but we have power semiconductor-related business, and this is also impacted by China. So this is around JPY 3 billion, so that's JPY 8 billion. And the remaining JPY 7 billion is infrastructure related. Infrastructure-related projects are normal, general. The industrial plants [ph] will be increased, but where we are -- have our strength, we are trying to select and narrow down the areas that we are strong at. So we would not call this a business structure reform, but there are some losses because of this narrowing down or being more focused. 
Unknown Analyst: Lastly, the first half operating income is upside, more than JPY 10 billion upside. So if you could elaborate on this, please? 
Toyoaki Nakamura: Yes, upside of JPY 20 billion. So first half operating income, JPY 22.2 billion. 
Unknown Analyst: Others, JPY 11.1 billion compared to the previous forecast. 
Toyoaki Nakamura: Yes, JPY 11 billion increase, JPY 11.1 billion increase. So this is Hitachi Logistics. This -- Hitachi Transport improved. Until last year, we revised downward, but this time, it's opposite. Now we are making upward revision. So the reform that we have done up to last year is now showing results. Now our group company that does building management, the cost and the recovery gap is now improving. And R&D, IT, the one that is the -- IT that is doing the company-wide IT and the IP, intellectual property, headquarters, revenue increased. So that are other items. There are miscellaneous items here. Thank you. 
Unknown Analyst: I have also 3 questions. This is a similar question to the previous. Now regarding Information & Telecommunications, SI area, it seems that it doesn't -- it is not performing as expected. But it seems that IT market is very good, so this is not in line with expectations in terms of what is received as well as shifting of people have been conducted. But it seems that the impact is not visible from the outside. Now why is it remaining at this level? Is -- what is the market environment and how is Hitachi dealing with this, leading to this current state? Please talk about the Information & Telecommunications. And also, in terms of Social Infrastructure & Industrial Systems, oil and gas. In the second quarter, as you mentioned earlier, there was a JPY 7 billion or JPY 8 billion that has been reserved. Now is it not included in the second half? In terms of industrial equipment, first half is better and the second half is not incorporated. Now in terms of Social Infrastructure, oil and gas, how are you making progress? Please elaborate. So that's my first question. 
Toyoaki Nakamura: Now regarding SI, in terms of SI, in terms of large scale as well as financial as well as for public service, we are seeing a significant improvement. We are very busy in this area. I believe that we can expect more orders going forward. But in terms of project management, we have to do a good job. We must not fail in terms of project management. That is the first and foremost priority for us because we have incurred such issues until last fiscal year. But in the first half, the -- there are none that are problematic in terms of projects. On the part of our customers, we have been able to facilitate their understanding and by dividing into phases. And to vendors, outsourcing will mean that the overall system will be undermined. This is fully understood by our customers now. And so this is a departure from where we were in the past. Therefore, the way we conclude a contract is now done in phases. Even for [ph] major projects, we have improved our project management capabilities. Last year, there was minus JPY 4 billion in terms of major project. And this has fallen away, therefore, there has to be more improvement going forward in the absence of this. Regarding oil and gas, I would say that we have a chemical plant that is more important in this area. Now the material cost for oil and gas is declining and, therefore, the competition is intensifying. Therefore, plant, per se, should not be pursued on the part of our company. That is my view. And that is the reason why we have to be very selective. So we're withdrawing. But in terms of compresses [ph] and hardware, individual products, it is not something that is difficult in terms of installment. They can be stand-alone products. But -- so we'd like to promote that. But in terms of oil and gas, where resource prices are declining, investments are being halted. This is the situation besetting us today. That is the reason why it is not increasing as expected. In terms of industrial equipment, smaller-sized products and projects should increase. But so far, that is not the case. We would like to see more increases in the second half. 
Unknown Analyst: Regarding SI, can you give us the numbers in terms of increase in projects, in terms of orders? 
Toyoaki Nakamura: For the first half, it's very difficult to adjust the segment SI only. In terms of Information & Telecommunications Systems, it's JPY 1.15 trillion is the orders received, and that is 108% year-on-year for the first half. Within this, financial sector is growing the most. It's around 120% year-over-year in terms of growth. 
Unknown Analyst: My second question is as follows. By segment, IoT, I understand that telecommunications resources will be shifted. But overall, for the company, what is the IoT revenue as well as the contribution to OI, operating income? It may not be contributing much now, but we would like to know your strategy. 
Toyoaki Nakamura: In terms of Mid-term Management Plan, the next Mid-term Management Plan, it will be the core. And I think we will be able to set our objective. I will mention this to the related divisions. 
Unknown Analyst: You talked about the asset disposal in terms of restructuring, JPY 50 billion can be generated for sales of assets. But how much progress have we made in this area? Can you give us a breakdown by segment as well, in terms of asset disposal? The EBIT, in terms of restructuring expenses, will be aligned. You -- please talk about the progress made in the first half and the outlook going forward? 
Toyoaki Nakamura: Regarding the asset disposal, this is something that we are conducting on a continuous basis. From this fiscal year, our corporate governance code has come into effect. Therefore, in terms of equities as well as real estate, we are making progress. For the first half, however, the value is not that significant. But for the full year basis, in terms of real estate, JPY 15 billion is contemplated, and the remaining will be from sales of equities. Thank you. 
Unknown Analyst: I have 3 questions. First, next medium-term plan, you have 3 pillars for the current: Smart Transformation Project and service and globalization, that's the 3 pillars of the current medium-term plan. What will the next medium-term plan look like? As the stock market, we want to know not just next year, but the next 3 years, will you increase your earnings and operating income with this current momentum because macro is slowing down? So Hitachi, we want some factors that will push up your earnings going forward. So that's my first question. 
Toyoaki Nakamura: In the next medium-term plan, we want to pursue strongly forward, but it's still too early for me to say anything. But unlike the past, the bottom-up type medium-term plan is what we did in the past. But now we have the bottom, but we have set out a clear direction and select and identified the areas and have 4-or-so main focus areas and have the autonomous regional-type of business and increasing service. So that is the clear direction we want to set out. In terms of scale, it's too early to say. So if you could give us a little more time. But the method is each company will submit the medium-term plan. It's not just the simple accumulation submitted by the group companies. One Hitachi's cross-functional axis is there, the platform, and the vertical axis is combined and the -- so the horizontal and vertical are mixed and incorporated, integrated. So we are trying to work this matrix out, not the numbers. We are trying to identify the focus areas and set out the direction by the end of this year, and then budgeting and then medium-term plan formulation. Thank you. 
Unknown Analyst: My second question is semiconductor production equipment. You have 2 subsidiaries, Telenor deal is gone and Kurume is coming, and so things are moving. So your message, please. Do you want to sell or not want to sell? If you want to sell, there's nothing to lose. So I think this message can be sent out. So as your basic strategy, the semiconductor production equipment subsidiary, how do you think of this as the parent company? 
Toyoaki Nakamura: It's a highly volatile business. This market, the seller and the buyer side -- not the buyer of the business, but the chip manufacturer and the semiconductor production equipment manufacturers. There are a few left, so we are trying to see which one has more power. So looking forward, we have to take a good look. We have to watch carefully and make a quick decision when we need to. So I cannot say anything right at this point in time, but we think this is a volatile business. 
Unknown Analyst: My third question, this is about the performance results of this year. In the first half, IFRS has increased, JPY 7.1 billion in profit. Including foreign exchange, it's JPY 7.1 billion increase. But the second half, comparing second half, you need to increase by JPY 30 billion, but the foreign exchange gain will not be as big as before. So I wonder if you can really achieve this increase. And you mentioned business restructuring will be JPY 10 billion. Other than that, on an organic basis, in the second half, are there any factors that will push up the revenue and operating income? 
Toyoaki Nakamura: The Information & Telecommunications team will have to follow through. And in big projects, we should not miss anything, opportunity loss. Now not so much the order, but for the mass-production-type business where we receive order and deliver on the same day, same month, we have people in charge, subsidiary in charge, and we have dropped to the bottom. So backlog has to be led to sales. Our group companies and subsidiaries will have to capture all project without missing them. Until last year, we had quite a few. For second half, we did JPY 14 billion in the second half last year, a project loss. So the Information & Telecommunication business will not have some. SI order is strong. So if they work hard, it should be okay. And Infrastructure Systems, they should not fail in the overseas projects. This is the biggest point we are keeping our attention of and checking this on a monthly basis. Foreign exchange is JPY 115 to $1. So this is not that different from last year, so not much gain from that. The yen should not appreciate from this much. So if yen stays at around JPY 120 to $1, then we will have a little more room, so it seems, that we can achieve. 
Unknown Executive: Last question before we close. 
Unknown Analyst: Regarding the second half, operating income after adjustment is what I'd like to pose a question about. Compared to the past plan, apart from one segment, they have been revised downward. That's how it looks, just looking at the second half. By segment, please elaborate. Is there a risk buffer from a corporate point of view? If there is a buffer, I would like to know how it is allocated to each of the segments. Regarding corporate items and eliminations, it seems that there is some latitude there compared to previous year. But in terms of -- what is the allocation amongst the segments in this regard? 
Toyoaki Nakamura: In terms of the segments, in terms of incorporating into the segments, the outlook is such that, inclusive of the subsidiaries, we are looking at achievable levels. That's our focus. In May, JPY 30 billion risk has been incorporated in the segments, and the total is JPY 50 billion. Headquarters is JPY 20 billion. In terms of the forecast, we are making adjustments as we go and, therefore, it isn't as if -- we are doing this by companies as well, but we don't know what the actual number is because it is being incorporated as risk. Now for the full year, JPY 20 billion. And JPY 10 billion risk has been used this time. That is how corporate items and eliminations have been formulated. 
Unknown Analyst: I have another question. Now regarding the next fiscal year, you said that you'd like to increase profit. Now in a qualitative manner, can you explain how you can do this by segments, or are there areas where it would be difficult to do so? So please talk about the direction for the business segments for next year. 
Toyoaki Nakamura: Actually, we have not discussed that yet internally. 
Unknown Analyst: What about your intuition? 
Toyoaki Nakamura: According to my expectation, Information & Telecommunications Systems and Social Infrastructure & Industrial Systems and the Automotive Systems, for these 3 segments, must post a profit. I would like to see profit in all the segments, but these 3 are extremely important. And now in terms of High Functional Materials & Components, we have to watch the market very carefully. Hitachi Metals has revised downward significantly. Whether this is one that's cost [ph] in 2015, or is it going to continue into 2016, this is not clear because we have to analyze the Chinese market in more detail because they are conducting a structural reform as well and they're increasing costs and making efforts in terms of costs. So I think this is the level they are likely to achieve. I don't think there is going to be further deterioration. I hope there will be no further deterioration. 
Unknown Executive: With this, we'd like to bring this meeting to a close. Thank you very much for your attendance today.